Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to today’s F.N.B. Corporation, first quarter 2012 earnings conference call. [Operator Instructions] As a reminder, today’s conference is being recorded.
 And now, I’d like to turn the conference over to Cynthia Christopher, Manager of Investor Relations for F.N.B. Corporation. Please go ahead. 
Cynthia Christopher: Thank you, and good morning, everyone. Welcome to our first quarter of 2012 earnings call. This conference call of F.N.B. Corporation and the report that’s filed with the Securities and Exchange Commission often contain forward-looking statements. All forward-looking statements involve risks and uncertainties and contingencies that could cause F.N.B. Corporation’s actual results to differ materially from historical or projected performance.
 Please refer to the forward-looking statement disclosure contained in our first quarter of 2012 earnings release and in our reports and registration statements F.N.B. Corporation files with the Securities and Exchange Commission and available on our corporate website, www.fnbcorporation.com. FNB Corporation undertakes no obligations to revise these forward-looking statements to reflect events or circumstances after the date of this call.
 A replay of this call will be available until midnight on Tuesday, May 1, 2012 by dialing 877-870-5176 or 858-384-5517 and the confirmation number is 2173145. Additionally a transcript of this call and the webcast link will be posted to the Shareholder and Investor Relations section of our corporate website.
 It is now my pleasure to turn the call over to Mr. Vince Delie, President and Chief Executive Officer. Vince? 
Vincent Delie: Thank you, Cindy. Good morning, everyone. It’s a pleasure to welcome you to our first quarter earnings call. Joining me today on the call are Vince Calabrese, our Chief Financial Officer; and Gary Guerrieri, our Chief Credit Officer.
 I will be highlighting FNB’s first quarter achievements and financial results. Gary will then review our asset quality and Vince will provide a more detailed review of our quarter’s results and provide an update on our outlook for the remainder of 2012.
 Looking at results for the first quarter, earnings were $0.19 per diluted share when excluding merger and severance costs. This represents a 104 basis point operating return on average tangible assets.
 We continue to achieve positive results from our key drivers. Our portfolios expanded through successful organic loan and transaction deposit growth and asset quality results were very good, reflecting a continuation of positive trends and importantly, the net interest margin of 3.74% was in line with our expectation, as we assimilate Parkvale’s balance sheet with FNBs.
 Total loans grew organically for the 11th consecutive quarter, driven by organic growth in the Pennsylvania commercial portfolio of 5.3% annualized. We remain focused on new client acquisition, an important component of our growth strategy, and our team of commercial bankers continue to add clients through robust calling efforts and disciplined sales management. The success of these efforts is apparent in our consistent growth.
 Consumer loan results reflected softer demand and lower volume, which we typically see in the early months of the year. We saw an increased demand in volume towards the end of the first quarter and we entered the second quarter with a healthy pipeline.
 Turning to deposits, linked-quarter organic growth in lower cost transaction accounts and customer repurchase agreements were strong in the first quarter. These average balances grew nearly 9% annualized through new account acquisition, combined with customers maintaining higher average balances.
 Now to discuss the Parkvale acquisition and the Pittsburgh market. The acquisition was completed on January 1, the conversion and integration have gone very smoothly and we are pleased with the operating results.
 As part of our efforts to achieve planned cost savings and optimize our branch network in the market, 16 branches have been consolidated. In addition to the consolidation, we also recently opened 3 De Novo locations in the Pittsburgh region. These locations provide converge in key strategic areas with attractive demographics and significant commercial, private banking and wealth management prospects. This brings our total Pittsburgh regional branch network to a 100 locations.
 Our lines of business are fully consolidated into a regional headquarters on our North Shore Campus, which currently houses over 150 FNB team members. We continue to attract talented bankers and have added commercial bankers and key wealth management and insurance professionals.
 We feel we are now well positioned in this market. With the acquisition related expansion in the eastern portion of the city rounding out our franchise, FNB is now uniquely differentiated as one of very few banks close to our size, to hold a top 3 market position in a major metropolitan market. The Pittsburgh MSA, one of the largest markets in the U.S., ranks 22nd based on population and is the 16th largest based on deposits. We are very pleased with the early stage results we are seeing following this acquisition.
 Now I’ll turn the call over to Gary, for more detail on our asset quality results. 
Gary Guerrieri: Thank you Vince and good morning everyone. We had another positive quarter from a credit quality standpoint, with our overall key credit metrics remaining at good levels and continuing to trend in a positive manner.
 For the completion of the Parkvale acquisition, our portfolio was positioned slightly better than we expected and our credit quality metrics ended the quarter on the positive end of our planned ranges. In addition, the credit mark was also in line with our estimates, validating the effectiveness of our due diligence process.
 As you are aware, our CB&T and Parkvale acquired portfolios are accounted for under fair [ph] value rules, plus we will focus our credit quality discussions with you between the originated and acquired loan books.
 With that said, I would now like to walk you through some key metrics for the company, as it relates to the originated portfolio. We started off the year with a solid first quarter, with net charge-offs at a very good level of only $5.1 million for the originated portfolio or 32 basis points annualized. When compared to the first quarter a year ago, net charge-offs are better by $1.5 million or 15 basis points on an annualized basis, which reflects solid performance in the Pennsylvania consumer portfolio and no write downs in our Florida portfolio.
 Delinquency continued to trend in a positive manner during the quarter to stand at 2.03%, representing a 4 basis point improvement over an already good year-end level of 2.07%. When compared to a year ago, the delinquency level for the current quarter is down 59 basis points and is the result of reductions in Florida, as well as our Pennsylvania commercial portfolio, which experienced the improvements in each delinquency category.
 When excluding Florida, our delinquency at the end of the quarter was a very solid 1.47% and was better than year-end levels by 4 basis points or when compared to the similar period a year ago, better by 30 basis points.
 Non-performing loans plus OREO ended the quarter at 2.22% as compared to 2.15% at year-end, with the increase attributable to the addition of $6 million in ORER from the Parkvale acquisition. Excluding the Parkvale OREO, the levels of NPLs in OREO would have improved by 2 basis points to 2.13%. The reserved position of the originated portfolio was relatively flat for the quarter to stand at 1.55%.
 Let’s now discuss our acquired loan portfolio, which as mentioned earlier has been marked to fair value. The portfolio ended the quarter at approximately $1.2 billion with Parkvale accounts comprising nearly 3/4 of that amount. The accounts in our acquired portfolio that were contractually past due totaled $61 million at quarter end, as Parkvale, one of our larger acquisitions added nearly $40 million. As mentioned earlier, these results are better than expected.
 Shifting to Regency, this $158 million portfolio demonstrated continued solid performance during the quarter, with delinquency reaching a very good level of 3.68% and net charge-offs at only 3.56% annualized for the quarter, sustaining the long-term trend of this portfolio.
 Turning next to Florida, we made additional progress during the quarter by reducing the loan portfolio to $136 million, which we achieved through principal pay downs of nearly $19 million on several credits, a 12% reduction in the portfolio. The level of non-performing loans and OREO was also down following the sale of 2 properties in OREO near their carrying value, a $1.4 million reduction.
 We are also very pleased to report that subsequent to the end of the first quarter we sold the majority of the real estate, approximately 450 partials, which secured our largest land project and are anticipating settlement later this week. This credit which had $14.4 million, is the largest non-performing loan and the banks total loan portfolio, will be reduced by approximately $13 million.
 Only a few of the partials will remain in our position and upon the final sale we expect to exit this credit with a relatively minor write down, for which we have adequately reserved. In addition, we are continuing to see interest in investor activity at a somewhat accelerated pace across the Florida market place.
 As we reflect on our performance, we are pleased with the progress that our team has made over the last several quarters. During this time we guided our Pennsylvania and Regency portfolios through a challenging economic environment, worked out a number of credits in our Florida portfolio to reduce our exposure and acquired 2 books of loans, that at this point have performed better than we expected.
 The positive activity that we have been experiencing in each of our portfolios reflects on the strength of our banking teams, our commitment and passion for managing risk and our sound and consistent approach to underwriting through the various stages of the economy.
 I’d now like to turn the call over to Vince Calabrese, our Chief Financial Officer. 
Vincent Calabrese: Thanks Gary and good morning everyone. As Vince discussed, first quarter results were $0.19 per share on an operating basis, when excluding merger and severance cost. These results provide a positive start to the year, reflecting solid performance from our key drivers and its successful completion and integration of the Parkvale acquisition.
 I will focus my remarks this morning on additional highlights of our operating results and expectations for the remainder of the year. Regarding our outlook for the remainder of the year, given that the first quarter’s results were in line with our expectations, we will be reaffirming the guidance we provided on our call in January.
 Now turning to the balance sheet. The acquisition of Parkvale contributed to our overall increased balance sheet size during the quarter and with this in mind, I will focus on the organic results we delivered for loans and deposits.
 Looking at loans, the first quarter marks the 11th consecutive quarter of total organic loan growth and the 12th consecutive quarter of organic growth achieved in the Pennsylvania commercial portfolio. Total organic loan growth of 1.4% annualized was supported by solid linked quarter growth of 5.3% annualized in our Pennsylvania commercial portfolio.
 We continue to see positive results across our footprint, particularly in our Pittsburgh, North West Pennsylvania and Ohio markets. Additionally the growth is a result of market share gains, as our commercial line utilization rate remains stable at historical lows.
 For the remainder of 2012 we reaffirm our expectation for full year organic loan growth in the mid-single digits, translating into a total expected increase in the loan portfolio in the high teens, following the addition of the Parkvale balances.
 While our security portfolio was a bit lower than normal at the end of last year, we have done some back up during the quarter to a more normalized level at period end. We would expect it to track close to the quarter end level during the second quarter.
 On the funding side, organic growth for total deposits was 1.4% annualized, with solid growth of 8.9% in relationship based transaction deposit and customer repurchase agreements, which were partially offset by continued managed decline in time deposits. We continue to focus on growing transaction accounts and customer repos, with these balances supporting our net interest margin and deepening client relationships.
 For the remainder of the year, we continue to expect full year organic growth and transaction deposits and customer repos in the mid-single digits to be partially offset by the client decline in time deposits. This is expected to result in organic full year growth and total deposits and customer repos in the low single digits and the high teens and taking into account the Parkvale acquired balances.
 We are very pleased with the first quarter net interest margin of $3.74 million that’s in line with our expectation. Consistent with our forecast the net interest margin narrowed 5 basis points, primarily as a result of beginning to assimilate the Parkvale balance sheet into FNBs.
 As previously communicated the Parkvale acquisition was forecasted to narrow the core FNB margin by 10 to 12 basis points in 2012. We expect to minimize this impact and the effect of the extended loan interest rate environment through continued improvements in our funding cost and deposit mix, as well as our overall balance sheet management strategy. And as with all of our acquisitions, we will be actively managing the margin to become more in line with FNBs core margin over the next few years. That being said, we reaffirm our expectation for a full year margin in the mid 360’s.
 Non-interest income increased 9.1% in the first quarter, excluding the gains on sales of securities from the prior quarter. The improved service charge revenue reflects the benefit of our larger franchise, following the addition of Parkvale, and increased insurance commissions and fees were primarily due to seasonal contingent fee revenue.
 Wealth management revenue also increased as a result of improved market conditions and Parkvale related revenue. For the remainder of 2012 we are targeting a full year increase in run rate non-interest income in the mid-teens, reflecting strong growth for core FNB in the mid-single digits.
 Turning to non-interest expense, the first quarter included Parkvale’s expense base, $7.6 million in merger and severance cost and seasonally higher personnel cost, while the prior quarter included the FHLB prepayment penalty 400,000 in merger costs.
 As we enter the second quarter, we are beginning to realize the full cost base from the acquisition. Looking forward we are targeting a quarterly non-interest expense run rate in the $77 million to $79 million range, trending down towards $76 million by year-end. This translates into an expected full year efficiency ratio in the high 50% level. Expense control always remains a key operating strategy for us.
 Switching over to credit quality, as Gary discussed we are very pleased with the first quarter’s results. Looking to the remainder of 2012, we expect overall credit quality to demonstrate continued solid performance. Provision for the first quarter was better than we expected, driven by net charge-offs that were significantly better than what we expected. This 1 quarter does not make a trend.
 We continue to believe that provision will be consistent with prior year level as we support planned loan growth. This would equate to a provision level of approximately $8 million per quarter for the remainder of the year. For taxes we continue to expect an effective tax rate in the normal 27% to 28% range on a GAAP basis for 2012.
 Lastly, looking at our capital position, levels at the end of the first quarter reflect the Parkvale acquisition consistent with our original projection. The TCE ratio at quarter end exceeds the year ago level or pre-capital raise level and we expect to return it to year ago levels for the risk based ratios in the next 12 month to 18 months.
 Now I’d like to turn the call over to Vince for his closing remarks. 
Vincent Delie: Thank you Vince. The first quarter was a positive quarter for FNB and a strong start to 2012. Results reflect the execution of both our organic growth and acquisition strategies. We continue to grow loans and deposits, manage their net interest margin in a challenge rate environment and manage through an overall lower risk profile to deliver solid credit metrics.
 Looking ahead, we have positive expectations for FNB. We have substantial momentum built and we continue to see solid pipelines. Our fee-based businesses are also gaining momentum. We have taken actions that over time, are expected to deliver and improve profitability for both our wealth management and insurance platforms.
 On the technology front, we are slated to roll out our e-delivery strategy in the third quarter of this year. Our investment in a quality integrated delivery platform for online banking, mobile banking and bill pay will enhance client acquisition and retention. It will also provide more cost efficient delivery and improve profitability.
 We are excited about the initiative and the positive benefits for FNB. In closing, we are pleased with our start to 2012 and we are positioned to achieve future success.
 I would like to now turn the call over to the operator for questions. 
Operator: [Operator Instructions] And we’ll take our first question from Frank Schiraldi with Sandler O'Neill. 
Frank Schiraldi: I wondered if you could just drill down into commercial loan growth. You talked about a pickup in the pipeline late in the quarter and early there in the second quarter. Are you seeing that on the commercial side as well? 
Vincent Calabrese: Yes, we have seen -- as we moved through the pipeline in the last quarter of ’11. We had a fairly robust quarter, so what typically happens is as we move the credits through the pipeline there is a rebuilding effort that occurs and we have seen that in the February, March time period. So the pipelines have been building back up again. The pipeline that we refer to in the call is basically the consumer pipeline and we have seen an elevation in activity that is fairly significant. That’s not uncommon, there’s quite a bit of seasonality in that business and typically the first couple of months of the year are slower than other portions of the year. So March was pretty strong and the pipelines continue to build. 
Frank Schiraldi: Got you, okay. And then just looking at the environment in general, what is driving the commercial loan growth? Are there increases in line usage at this point or is it more business wins from others or... 
Vincent Delie: I would say we continue to see, business wins from others. We’ve also seen some limited capital spending occurring in the market place. Line utilization however has been flat for us. I mean we haven’t seen an increase in line utilization and I would expect that as we continue to move through this cycle and there is some uncertainty on a number of fronts, I think the companies have been running a little tighter from a working capital standpoint, so you’re not seeing inventory expansion like we talked about in the past. So I think they are running a little meaner, a little more cautious, so we are not seeing that lift that you’d normally see in line balances, but we have seen some CapEx spend here and there. So we are getting a little bit of benefit from that. And we are also getting benefit from our -- from many of the hires that we’ve made over the last few years. We’ve invested fairly heavily in talent on the commercial side of our organization and we are really reaping the benefits today, so we continue to expand our market share. 
Frank Schiraldi: Okay and then a question on the margin. Vince, you had mentioned that with Parkvale included, basically the combined margin is 10 to 12 basis points below where FNB’s margin was and I think that’s just a reiteration of what you said before. How do we look at that in terms of a 2Q? Is it fair to look at the second quarter and say we may be 10 to 12 basis points below where FNB was prior to Parkvale in the fourth quarter? 
Vincent Calabrese: Yes, we say that 10 to 12 basis point is to reference to the kind of year as a whole. The first quarter has some noise from re-leveraging the balance sheet. We reduced the balance sheet quite a bit in the securities portfolio at the end of the year. So we had to fill that all the way back up until the end of the quarter, so that naturally will cause the margin to come down some. So the 10 to 12 relative to the second quarter, relative to the year as a whole is pretty reasonable. I would clarify, Frank, a part of the fourth quarter which was 379. 
Frank Schiraldi: Right Okay, that’s helpful, thanks. And then just finally, I just wanted to ask a more general question on M&A. Your thoughts Vince are on future M&A for FNB and then maybe remind us of some of your troughs on acquisition parameters. 
Vincent Delie: Okay, well we continued -- the same team that was in place over the last several acquisitions is still here, so for the most part. So we plan on continuing to peruse opportunities as they present themselves and I would say we really haven’t changed course in terms of acquisition or acquisition strategy. I will tell you that we continue to focus on improving earnings as we move forward. So accretion is very important to us. We look for accretion within the first year of an acquisition. We also look for rebuilding capital levels that may occur through diminution, so we are very focused on that, and as you know we are an efficient user of capital and we will continue to be that way as we move forward. So hopefully improving the profitability of the company, increasing our equity position through retained earnings and getting us into a range where we can continue to pay a healthy dividend. So you know we are targeting a dividend payout ratio in that 60% to 70% range, so. So that’s our strategy in a nutshell. I’ve included some of our capital management strategies as well. 
Vincent Calabrese: I’ll also comment too that to the extent there is any diminution of capital we focus on a 12 month to 18 month period, to be able to recoup that, so it’s really pretty short. 
Frank Schiraldi: Okay and then just in terms of M&A, but is it fair to say at this point, as it goes for Western PA, for the Pittsburgh region, you’re sort of where you want to be in terms of bulk and you are going to focus de novo growth from there and may be if M&A is something you’ll look at and you may be looking at areas other than Western PA. Is that fair or not really? 
Vincent Delie: Well I don’t know. I mean we obviously have to evaluate the landscape. I think if there is an opportunity to purchase an enterprise in the Pittsburgh market that provides us with good accretion, where you can take cost out that even further rounds out our delivery channel or bolsters our market share, that’s something we may consider. So adding to our existing franchise is of interest to us in all of the markets and expanding eastward and possibly into Eastern Ohio. Those are the areas that we’ve commented on in the past and I would say that that continues to be of interest to us. 
Operator: We’ll take our next question from Bob Ramsey with FBR. 
Thomas Frick: This is Tom Frick for Bob. I just had a quick question on the expense line. How much of the increase this quarter was from seasonal increases? 
Vincent Calabrese: Well, the first quarter, I mean the bulk of the increase in the expenses in really the merger related -- as I mentioned it’s close to $6.8 million. The seasonal increases that happened as we reset payroll taxes is probably around a penny a share, half to a penny a share, it’s a rough figure and that sort of floats down as you go through the year. 
Thomas Frick: Okay great and then kind of going to the Parkvale acquisition, I was kind of curious just to find out, what kind of loan growth and deposit growth are you seeing from the former Parkvale braches, more specifically on the loan side. 
Vincent Delie: Well we’ve had some great success with a number of the locations. I mean obviously in the eastern portions of Pittsburgh where we really didn’t have great coverage, we seen some lift. We’ve seen some lift with our existing branch network, as well as a number of their locations. Commercially we were very successfully in recruiting some additional commercial bankers to cover the eastern portions of the city and the Westmoreland County. So we had had some great success there as well. The pipelines are building and we are very pleased with what we are seeing early on. 
Operator: We’ll take our next question from Damon Delmonte with KBW. 
Damon Del Monte: My first question deals with the provision, so for Vince Calabrese, I think you mentioned that you are expecting about an $8 million per quarter provision for the remainder of 2012 is that correct. 
Vincent Calabrese: Yes. 
Damon Del Monte: Okay and I mean that’s a little bit higher than what we saw this quarter, but I think in your earlier comments you guys noted you are expecting credit trends to continue to improve, is that correct? 
Vincent Calabrese: Yes, no that’s correct. I would say Damon, the first quarter, the charge-offs overall were really a lot better that what we expected. So you need to see a couple of quarters of running at that level before I would want to start baking that in. I mean we would expect the second quarter to be more normalized, which would translate into a second to fourth, an $8 million provision for the quarter. 
Gary Guerrieri: In addition, a piece of that provision Damon also supports the growth expectations in the company through the remainder of the year. 
Damon Del Monte: Okay, great. And then I guess with regards to the impact of bringing Parkvale on, did the amount of intangibles that came on, was that in line with what you’re expecting. Well it seemed like the reported tangible book value number this quarter was a little bit lower that what we had modeled. 
Vincent Delie: No, but the marks were very close, credit mark, the core deposit intangible. The high deposit was probably a little bit larger, because rates were lower at the end of the year than they were back in June, so maybe a little bit higher overall, but not significantly. 
Operator: [Operator Instructions] And we’ll now hear from Jason O’Donnell with CB Brokerage. 
Jason O’Donnell: I realize it’s too early to get excited at this point, but it seems like the balance sheet is getting more asset sensitive by the quarter, just given the [indiscernible] balances you’re putting on and what’s happening on the funding side. Vince I know you said in the past that your objective is to manage to a neutral position, but does it make sense to assume a more asset sensitive or aggressive position here over the next several quarters, just given where we are in the rate cycle. 
Vincent Calabrese: Well, I would say our overall philosophy here just continues to be that -- to manage to neutral. We are slightly asset sensitive, I would say right now, but overall as a company we really don’t want to make bets on interest rates and we don’t know how long it’s going to take for things to move. So we are slightly asset sensitive, but you know overall posture I think will remain the same. But there is some back there. When rates do start to move we’ll have some more benefits that’s baked into the balance sheet where we’ll start to show itself, but it’s not significant. I would call it slightly asset sensitive. 
Jason O’Donnell: Okay, fair enough. And then Vince I know you gave guidance around non-interest expense for the remainder of the year. Can you just give us an update in the expected cost saves opportunity coming from Parkvale? Is 35% still achievable and when do you expect to have those fully achieved? 
Vincent Calabrese: Sure, the 35% is definitely achievable. You know a lot of the cost saves have been realized by the end of the first quarter, but there is still some additional cost that will come out in the second quarter. Vince mentioned that we closed some branches. It takes a while to exit those properties and get the full cost savings from those. But definitely by the end of the second quarter, we’ll fully have that and I’d say we have most of it already, as we started the second quarter, but to kind of get to that full level of 35%, definitely by July 1. 
Jason O’Donnell: Okay, that’s helpful. And then the final question, in terms of the linked quarter drop in net charge-offs, did you have any material recoveries this quarter impacting the result? 
Gary Guerrieri: Jason, no. Primarily it was very, very solid performance in our retail book and nothing in Florida at all. So the consumer book has really performed very nicely and continues to do so, that really was the primary impact. 
Operator: And we’ll continue on to Mac Hodgson with SunTrust Robinson Humphrey. 
Mac Hodgson: A question on the merger and severance charges, just kind of a technical question. Is that -- Vince can you give us the break out of how much is included in personnel versus other expenses if you have it and then also how much merger charges are left, if any? 
Vincent Calabrese: Sure. The component that’s personnel related, it’s well under $1 million. It’s probably about $500,000, $600,000 I would say, the piece that’s personnel related and then the rest is in kind of the other expenses. And as far as the second quarter, there’s always going to be some that will spill over, but small. I mean well under $1 million, may be $0.5 million or so as far as some additional stuff. There’s always some that kind of dribbles in that second quarter, but nothing of size. 
Mac Hodgson: Okay great. And then on acquisitions, I know you spoke about it earlier. Do you feel like you need to build your capital a bit more before doing another deal or do you feel like you’ve got enough capital today or is it likely that maybe you look to raise some capital and just in time, type of manner, if the right opportunity comes, maybe just speak about acquisitions as it relates to your capital position. 
Vincent Delie: Sure, thanks Mac. As you may recall, in several of the other transactions, excluding the Parkvale situation, because there was a unique circumstance behind that capital raise or the inclusion in the S&P 600 and the opportunity to get better execution. We’ve operated fairly efficiently from a capital standpoint, so you know we prefer to pursue capital on a just-in-time basis as we pursue transaction. So I would expect us to continue down that path. I would also expect us to continue to build, as we have said before, post Parkvale, our plan is to recoup that diminution of capital over a 12 month to 18-month period and that would be the plan as we move forward. So hopefully that answers your question. 
Vincent Calabrese: Mac, I would add to it too. If you looked at our capital ratios in March of last year, which was before we did the capital raise, we are within 10 to 15 basis points of all ratios for leverage, Tier I risk base, total risk base, so at the end of March of this year we are really potentially right on top of those and to Vince’s point, the earnings growth and the dividend payout coming down, we’ll rebuild that as we go through the rest of the year and the TC ratio is actually 6 basis points higher today than it was at the end of March last year. 
Operator: And we’ll go on to John Moran with Macquarie Capital. 
John Moran: I may have missed it in the prepared remarks, but it sounded Vince like you guys opportunistically sort of redeployed some liquidity in securities. Could you give you a little bit more detail there? 
Vincent Delie: No, actually what occurred was at the end of the year, as part of de-leveraging the balance sheet just to manage the total size of the balance sheet, we had to trunk our securities portfolio. Now as we were going through the first quarter, we were really just building back up to a normal percent of total balance sheet during the first quarter. So it was more of just -- my comment there was more of the timing of the securities coming in. It didn’t fully happen until we got to the end of the first quarter, but it brings us back to what I would say is a normal level of total securities to the total assets for us. 
John Moran: Got you. And then in your forward-looking comments, you had said that the level that we’re at now, you could expect that to be kind of maintained for the rest of the year, is that correct. 
Vincent Delie: Yes, for the second quarter, and then as the balance sheet builds you might see some slight increase in that, just kind or prorate, but in the second quarter clearly right around that level. 
Operator: And we have no additional questions in the queue at this time. I’ll turn things back over to our speakers for any additional or closing remarks. 
Vincent Delie: Okay, well I’d like to thank everyone for joining us today. We appreciate your continued interest in FNB. Have a great day. Thank you. 
Operator: Thank you. And again ladies and gentlemen, that does conclude today’s conference. Thank you for your participation.